Operator: Ladies and gentlemen, thank you for participating in the Fourth Quarter 2019 Earnings Conference Call of Melco Resorts & Entertainment’s Limited. At this time, all participants are in a listen-only mode. After the call, we will conduct a question-and-answer session. Today’s conference is being recorded.I would now like to turn the call over to Mr. Richard Huang, Director of Investor Relations of Melco Resorts & Entertainment Limited. Thank you. Please go ahead.
Richard Huang: All right. Thank you for joining us today for our fourth quarter 2019 earnings call. On the call today are Lawrence Ho; Geoff Davis; Evan Winkler and our Property Presidents in Macau and Manila. Before we get started, please note that today’s discussion may contain forward-looking statements made under the Safe Harbor provision of Federal Securities Law. Our actual results could differ from our anticipated results.I’ll now turn the call over to Lawrence.
Lawrence Ho: Thank you, Richard and hello everyone. Before I get into our quarterly results, I’d like to take a moment and send a heartfelt sympathy to the people of Wuhan and Hubei, and the whole those who are impacted by the new strain of the coronavirus.Melco has donated HKD 20 million to purchase medical supplies and to support the local community in Hubei. We have also donated HKD 5 million to the Macau Federation of Trade Unions to help members of the Macau community with unstable incomes, who are particularly impacted. We will continue to work closely with the government to ensure the safety and wellbeing of our customers, colleagues as well as their families and the community.I would also like to thank the Melco team for continuing to support the company and the community by coming to their workplace, serving our customers and making sure all properties remain safe and operational. I cannot thank these colleagues enough for working through this very difficult time. Lastly, I would like to express my sincere gratitude to the Macau SAR government for the proactive and decisive response to contain the spread of the virus. I would also like to thank the Chief Executive for his leadership, which is what we need in these challenging times.Turning to our results, I’m pleased to report we have finished the year strong with our fourth quarter and our full-year 2019 luck-adjusted EBITDA both reaching all-time record highs. In 2019, despite macro headwinds and the events in Hong Kong, we increased our Macau mass table revenues by approximately 17%. We also enjoyed modest growth in VIP revenue despite the significant market-wide VIP decline, which allowed the Melco to expand its total GGR market share by approximately 180 basis points year-over-year to approximately 16%.Benefiting from the opening of the award-winning Morpheus, City of Dreams’ luck-adjusted EBITDA grew 19% year-over-year in the fourth quarter to $249 million. Studio City’s fourth quarter luck-adjusted EBITDA grew 22% year-over-year to $114 million, driven by strong mass table revenue growth of 19%, which outperformed the market significantly.The strong financial performance was a result of Melco’s commitment to excellence and determination to push boundaries with our portfolio of award-winning integrated resorts attaining a record-breaking total of 107 stars in the 2020 Forbes Travel Guide. Morpheus was honored as the world’s first and only establishment to attain Forbes Five-Stars across its entire hotel, spa and dining facilities, after a year of its grand opening. The Morpheus Spa also won the Forbes Spa of the Year Award. To strengthen Melco’s leadership position in the city’s premium mass gaming segments, we will continue to upgrade our resorts and to expand our asset footprint.At City of Dreams, we opened a new premium mass area in October last year with another new premium mass gaming space opened just ahead of the Chinese New Year. At Morpheus, we are in the process of adding more villas, which have been extremely well received by customers since we opened in June 2018. The renovation of Nüwa has also recently started.Our next major project in Macau will be the further expansion of Studio City. Construction has recently commenced and we have budgeted $1.35 billion to $1.4 billion for the expansion. The phase 2 expansion will increase Studio City’s hotel room inventory by approximately 60% with two new hotel towers offering a total of approximately 900 luxury hotel rooms. In addition to gaming space expansion, phase 2 will also offer non-gaming attractions that are highly complementary to those in phase 1 including a Cineplex, one of the world’s largest indoor outdoor water parks, fine-dining restaurants and state-of-the-art MICE spaces.Moving to the Philippines. COD Manila’s mass table game operations saw strong double-digit growth in the fourth quarter while VIP operations continue to be impacted by the market-wide VIP decline and increased competition in and around Entertainment City. In Cyprus, we continue to ramp up our temporary and our satellite casinos with luck-adjusted EBITDA from Cyprus more than tripling year-over-year to $9 million. construction of City of Dreams Mediterranean is progressing well with opening anticipated around year-end 2021.our strong fourth quarter performance demonstrates the resilience of our EBITDA with over a 90% of our 2019 Macau EBITDA contribution by non-VIP segments. That combined with a modest net debt-to-EBITDA leverage ratio allows us to maintain a regular dividend while retaining ample financial flexibility to reinvest in our existing properties and to pursue new development opportunities.We continue to work diligently in Japan. In September of last year, we announced our Yokohama First policy as we focused our Japan team on bringing to Yokohama, the best IR the world has ever seen. In December, we submitted our response for Yokohama RFC and we will continue to actively engage with the Yokohama officials to discuss our plan.Finally, the coronavirus outbreak has severely impacted the tourism industry and integrated resort facilities in Asia. Given the uncertainty, we have prudently chosen to focus on our core operations and not to pursue the second tranche of Crown Resorts shares. We will continue to develop the Studio City Phase 2 and City of Dreams Mediterranean as planned before other discretionary CapEx spend, we will closely review them and prioritize them, so as to preserve capital. 2019 was a great year for Melco as we grew our EBITDA to record high levels despite the Macau market experiencing modest decline in gaming revenues.taking a longer-term view on things, we remain optimistic of the future of Macau as we anticipate the Macau mass gaming market to continue to benefit from the expanding Chinese middle class, significant infrastructure improvements in the Greater Bay areas and the new integrated resort openings in Cotai, including our own Studio City phase 2.With that, I’ll turn the call over to Geoff to go through some of the numbers.
Geoff Davis: Thanks, Lawrence. We reported group-wide EBITDA of approximately $383 million in the fourth quarter of 2019 declining by 5% from the fourth quarter of 2018 while luck-adjusted EBITDA increased 15% year-over-year to an all-time record high of $413 million and unfavorable VIP win rate negatively affected EBITDA at COD Macau by approximately $39 million. at Altira and at Studio City, EBITDA was positively affected by a favorable VIP win rate by approximately $6 million and $4 million respectively. on a consolidated basis, overall results were negatively impacted by approximately $30 million.in the fourth quarter, the luck-adjusted property EBITDA margin in Macau was approximately 29% increasing by approximately 170 basis points year-over-year. in the Philippines, COD Manila delivered luck-adjusted EBITDA of approximately $54 million representing a decline of 12% year-over-year. The sequential EBITDA decline was due mostly to a $4 million hit from union-related accruals and an increase in the bad debt charge.Moving on to capital management. The board has declared a quarterly cash dividend of $0.165 per ADS flat with the prior quarterly dividend. to optimize our capital structure, Studio city paid down its $350 million 2019 senior notes in November of last year. Also in November of last year, Melco or the city of dreams, Macau obligor group issued $900 million of 2029 senior notes with the proceeds used to pay down essentially all of our Melco Macau credit facility. Melco’s next bond maturity is in 2025.To provide more clarity regarding our capital structure within our core group, we had cash of approximately $900 million and gross debt of approximately $3 billion at the end of the fourth quarter of 2019 excluding Studio City and Cyprus. As we normally do, we’ll give you some guidance on non-operating line items for the upcoming quarter.Total depreciation amortization expense is expected to be approximately $160 million to $165 million. Corporate expense is expected to come in at approximately $32 million to $34 million and consolidated interest expense is expected to be approximately $83 million to $85 million, which includes finance lease interest of $10 million relating to City of Dreams, Manila. for those that follow City of Dreams, Manila more closely, our building lease payment for the fourth quarter of 2019 was approximately $10 million.That concludes our prepared remarks. Operator, back to you for the Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Joe Greff of JPMorgan. please ask your question.
Joe Greff: Hello everyone. Thanks for taking my questions. Lawrence, can you just talk about sort of what – maybe, what the fixed operating expenses are as you’re in Macau as your properties have been closed. That’ll give us a sense of how to think about modeling it as we think about different recovery scenarios. That’s my first question.And then my second question. Can you talk about CapEx this year? I guess how much maybe potentially, gets pushed out from what you thought previously, just given sort of maybe, a slowing recovery in Macau in terms of just construction bodies and getting materials, things of that nature. That’s my second question.And then my third question relates to your existing investment in crown and how do you think about sort of, I guess, monetizing that or liquidating that position if you could talk about that. And that’s all for me. Thank you.
Lawrence Ho: All right. Hey, Joe. I think, why don’t I start answering the first couple of questions and then hand it off to Geoff Davis and also Davis is respectively to add more color and give more details. We had a phenomenal, I think, similar to the other operators calls. We had a phenomenal start to 2020. We had a great 2019, we had record highs and in all of the key KPIs for ourselves in math and that really led into 2020, and I think, we had our record high market share as well as the company. And of course, as the coronavirus started to spread, the bottom really fell out. And I think, and like some of the other operators, our view is that the situation is going to take we have a much longer ramp up period to get the business back to where it was to that, because David can share a lot more details in terms of we’ve been open with quite a lot of the properties had reopened for the last close to 24 hours, but we anticipate Macau to be very, very quiet for quite a long time, because there’s still a lot of details that hasn’t been reviewed.So for instance, how people get, go from China to Macau, whether they need to be calling here in, how long is that? There’s still a lot of details to be worked out. and so all main daily operating costs maybe, Geoff can shed more details on that.
Geoff Davis: Sure. Thanks, Lawrence. So, our run rate overhead. So, those are our expenses excluding gaming taxes and commissions. We’re about $3 million a day in Macau, $2 million at City of Dreams, Altira and mocha and $1 million at Studio City. Through some cost cutting efforts and reduction in variable costs associated with business levels, we’ve been able to reduce that to about $2.5 million per day.
Joe Greff: And Davis, maybe, you – go ahead.
Geoff Davis: Well, I’m just going to answer the CapEx question. So, as Lawrence mentioned in his remarks, we’re continuing to push forward with Cyprus and Studio City Phase 2, but we’re reevaluating other maintenance in small growth capEx. We’ve identified approximately a $100 million of deferrals or eliminations to that sort of capital expenditure. And for 2020, we are looking to spend roughly $830 million of capex including the capital for city of dreams, Mediterranean or Cyprus and Studio City phase 2.
Joe Greff: How would you break that out between maintenance, Cyprus and Studio City?
Lawrence Ho: So, City of dreams in Cyprus is about $180 million. Studio city phase 2 is approximately $300 million, and then you can back to the remainder for small growth and maintenance CapEx.
Geoff Davis: Okay. So…
Joe Greff: And then maybe, the Crown question.
Lawrence Ho: Hey Joe, it’s Lawrence again. So, we’ve mutually decided to get over crown to cancel the Tranche 2. And so we don’t have any financial commitments on tranche 2. In terms of what we currently own in Crown Resorts, which is about 9.99%. We will – the crown has amazing assets, but given the severity of the coronavirus and the impact to our business, we’ve taken a very detailed look at all of our capital expenditures. And so given that wasn’t considered part of our core investment, core management assets. I think that’s why that decision was made.We will continue to – for the foreseeable future, we will continue to take a look at that stake and see what happens going forward. But I think our immediate focus right now is really the stability of our Macau business and the stability of our staff, and the safety of our staff and colleagues in Macau. But David, I think it’d be helpful actually to maybe, shed a bit more color on what’s happening in Macau in the last two weeks, because there’s been quite a lot.
David Sisk: Yes. Sure, Lawrence. So, I think there’s been several things that have occurred here. I think one of the biggest things getting into Macau, has just been an extreme challenge, I think everybody is aware, really, the only way to get across now from Hong Kong is to come via the bridge. We’ve got basically anywhere from one to three flights a day. They are coming in from the Macau airports, getting across the border spends on it, if you’re going to get quarantined or not, or the questions you have to ask or the questions you’re being asked, excuse me. Just a big challenge for people as they’re going through, even traveling within China is proven to be rather difficult, kind of getting back to maybe, a point that Lawrence was making as well on that is as we look out towards the future, we kind of see things not recovering quite as quickly. We see things maybe, taking more time.One of the things that we’ve seen that has not been maybe mentioned is given the all the time the kids had been out of school to this point. Typically, July and August are the school holiday periods. We think that a lot of the kids in China will probably be going to school during that July, August period, which we think is going to have an impact on our visitation, whether it be for hotel occupancy or just customers coming to see us during that period. So, we’re not as, let’s say, hopeful in the next, let’s say, four to six months, we think it’s going to be challenged through Macau. We opened up last night as I think everybody is aware. There was a trickle of customers.I think as we opened up at Studio City, we had about 10 customers that came in; as we opened up the city of dreams or maybe 10 to 12 customers that were in there. When I left the casino outside at two in the morning, we had 20 customers at city of dreams. It’s just going to take some time given the safety protocols that we have in place. It’s just not the most comfortable environment to come into right now. So again, I don’t think we want anyone to walk away from the call thinking that everything’s going to be just perfect and rosy coming out of this going forward.
Joe Greff: I appreciate the thoughts guys. Thank you.
Operator: Your next question comes from the line of Billy Ng from bank of America. Please ask your question.
Billy Ng: Hi, good evening. Actually, some of the questions already answered, but I just want to follow up with David and you mentioned about like maybe, 10, 20 customers, I know it’s a little bit too early to gauge what kind of so-called normal activities we can achieve right now after the casino reopen. But in terms of like maybe, can you provide a little bit – a bit more colors in the next month or two, let’s assume if the IVS visa is not going to be there or the bridge – [indiscernible] is not going to reopen. Do you see actually, we will have a loss-making situation still continue even though the casino reopen or how should we look at the next month or two?
David Sisk: Well, I think a couple of things on that real quickly, Billy. One, it’s obviously, as you know, the group visas and the IVS have basically been shut off by China. We don’t see those getting turned on. Best case maybe April, probably more likely may. And again, I think that’s going to go very slow as they turn that back on. Most of the customers that we’re seeing coming in now, these are business visas or basically, they’ve got – they’re coming from Hong Kong or Southeast Asia. As you’re aware now to Southeast Asia is starting to experience problems with the coronavirus as well. We just think it’s going to be incredibly slow and it’s going to take some time for us to get attractive momentum that we had kind of going in through January.And kind of going back to your question in regards to what we think is going to happen from a profitability standpoint. I know that Geoff answered that, but I think our revenues are going to be impacted in a great way. Obviously, we’re going to try to minimize our costs as much as we possibly can, but we are going to be challenged and obviously, we’re not the only one out there. It’s going to be challenged through the future as the next, let’s say four to six months.
Geoff Andres: Billy, in the scenario that David just painted, it is certainly possible that we could have loss-making days in the casino, even with the casino is open.
David Sisk: So, coming back to Geoff’s point, we’re actually kind of really in the gaming business now, where we’ve got volatility in a big way again.
Billy Ng: Can I follow up with that? The $2.5 billion daily loss during the closure and/or the daily operating expense during the closure, will that increase back to $3 million right away after you reopen or what is the run rate during this period?
Geoff Davis: The two and a half is a good run rate for where we are with the casino closing with minimal business levels. as business levels ramp up, some of those variable costs will start to creep back into the business as you’d expect. I don’t think we get all the back to $3 million a day for some time just because some of the cost-cutting initiatives that have been put in place by David and the team. But for right now, two and a half is okay, but it’ll ramp up as the business ramps up.
Billy Ng: Okay. Thanks. And one last question from me is in terms of the phase 2 Studio City construction. I understand that before the virus breaks out, we were waiting for the government approval to start. But can you tell us a bit more now with the situation, will we – or should we expect more delay, potentially construction worker could be a big problem if everyone, foreign labor coming to Macau need to be quarantine and also the government approval process, whether it will take longer, because of the focus on the virus now.
Lawrence Ho: Hey, Billy, it’s Lawrence here. I think maybe, Geoff Andres can add more details, but I think naturally, we will – we got the approval to get started and we’re actually quite happy in January, but I think naturally, with the coronavirus preventing in a lot of its construction workers naturally from mainland China. And so we do expect that there’s going to be a slowdown – a significant slowdown of those workers coming in. Then, in terms of government approval, as you can expect during this unprecedented time, the Macau government’s 100% attention is on stopping the spreads and curing the virus. So, you can expect that approvals to slow down as well. But I don’t know if Geoff Andres has more color
Geoff Andres: Well, it’s nice to see that we have piling going on at the Studio City phase 2 site and the site is busy every day. I think it is still too soon to try to tell if there’s any long-term magnifications, but right now, the piling is happening and there’s activity on a daily basis.
Billy Ng: All right, thanks.
Operator: Your next question comes from the line of Harry Curtis of Instinet. Please ask your question.
Harry Curtis: Good morning everybody. Two quick questions; first, going back to the question on Crown, Lawrence, if you wouldn’t mind giving us a sense of the intention – your intention behind your current investment, is there an opportunity for liquidity over the next six to 12 months?
Lawrence Ho: Hey. Hi, Curtis. And I would hand the question over to Evan, our President to share more detail.
Evan Winkler: Sure. Thanks, Lawrence. So look, I think as Lawrence articulated, given the capital needs of the company and given what’s going on from a coronavirus perspective, we felt it was prudent to cancel the second tranche. In terms of the first tranche, I don’t think that we see an immediate urgency based on what our views are on recovery from a virus perspective. And look, we like the crown assets. All that being said, we’re evaluating every single aspect of the business. I think we identified that as not a majority owned and operated a portion of the Melco portfolio. So, to the extent that there were capital needs going forward, that would obviously be a potential source of liquidity.
Harry Curtis: Okay. Excellent, thank you. And the second question, if you could give us, Lawrence, your current views on the investment that is occurring now in Japan. Is the – how much of your – of your CapEx that Geoff talked about is actually investing in Japan and do you think that – when you think about like Osaka, there was – it seemed like the Japanese government was increasing their ask for the total CapEx and I’m wondering if you’re seeing any of that in Yokohama.
Geoff Davis: Well, Harry, again, I think Evan can probably add more details as he’s leading the Japan effort, but we continue to think that the opportunity in Japan is a very valuable one and one that we’ve been pursuing for over 10 years now. And so in terms of the details, maybe, I can get Evan to shed more.
Evan Winkler: Sure. And I’m going to defer, maybe, Geoff, afterwards can answer in terms of what if any of the Japan CapEx number would be in the numbers he gave before versus just our development costs being expensed or capitalized in that region. But in terms of the CapEx related to the overall Yokohama build or proposed build, I don’t know that there is pressure from the government to increase their ask in terms of what is being put forward. There were sort of national standards that have been set in Japan for a period of time that all the operators are looking at in terms of what tier facility that you would look to build.I think Lawrence has been clear that Melco’s perspective is that we would build a top tier facility that we would be building effectively, the greatest IR the world had yet seen and that continued to be the focus of the team and our efforts. So, I don’t believe that there is pressure by the city to increase above and beyond what we had proposed. If anything, I think the city and us and other operators are in a pretty constructive dialogues about which parts of those facilities are going to generate returns. Should there be any thoughts in terms of phasing to make these investments successful and that they’re viewing it as a partnership between Yokohama and the potential operators. So, we’re not seeing pressure to expand above and beyond what we’ve put on the table.
Geoff Davis: So Harry, just a follow-up of the CapEx number that I provided previously, nothing is for Japan. You can see the development expense that we have on the P&L for the fourth quarter of around $18 million, that is essentially all Japan.
Harry Curtis: Very helpful. Thanks, everyone.
Operator: Your next question comes from the line of Ricardo Chinchilla of Deutsche Bank. Please ask your question.
Ricardo Chinchilla: Hey guys. Most of my questions have been asked and answered already. But I wanted just a little bit of color of you know, once the recovery starts to getting track. Do you guys see any benefits with regards to your peers just because of your location in Macau, given that the things like you guys have better location in terms of visitation by and outside of the airports? And when you guys think about any develop – any developments, what signs would you guys that start to see with regards to the virus to start being more constructive on visitation to Macau starting to recover, like the infection rates or what kind of metrics are you guys monitoring right now?
Lawrence Ho: Hey, hi. Hey, thanks for the question. So, it’s Lawrence here. So maybe, my colleagues can add more color. But I think from our perspective, Melco has always felt that our assets, especially, City of Dreams and Studio City have the best locations. We effectively book in the Cotai strip. And I think whether the coronavirus is on, it’s always been the future of Macau. That’s where the more the infrastructure from Mainland China are leading people to. So, I think going forward, assuming there’s always been kind of a push within the Macau community to segregate the tourist areas with the residential areas. I think now with the coronavirus, perhaps there’s going to be even bigger interest in that aspect.So, I think if that was the case that will further push business into the Cotai area once business picks back up. But similar to what we talked about throughout the call, we do think that the recovery period is going to be longer than most people think. Yes, there – of course, there is pent-up demand. But I think from people that are in Hong Kong and China, and Macau right now, the situation is pretty dire and it’s downright the processing. So, I think it’s going to take quite a long time for people to start saying, well, let’s go entertain ourselves in Macau or some of these areas going forward. But again, we do think 2021 is intact, but 2020 is a – it’s almost, I think it’s more than half the year it’s going to be lost.
Evan Winkler: This is Evan. Look, we continue to monitor as a company. I think the way that a lot of companies are monitoring now, the incidence rate and the death rates that are going on with respect to the coronavirus. As David articulated, there’s a lot of pieces to the puzzle to bring our business online. It isn’t just opening the casinos. We need to be able to get people and customers back in seats. And I think our view is that until we kind of hit a peak and we see substantial sort of over the humps in terms of the infection rate and the death rate going on that you’re not going to have those structural changes that are needed to put the business back on track. And so until we see that, I’m not sure you’re going to get the other pieces of the puzzle we need to affect a real recovery here.
Ricardo Chinchilla: Understood. Thank you. And in terms of the dividend that goes out from the Melco Resorts Finance entity, do you guys see any change versus the prior year and funding more of the dividend from the contribution that you get from the other properties or how should we think about the dividend coming out of that entity specifically?
Lawrence Ho: Hey, Geoff Davis, would you like to take that?
Geoff Davis: Sure, sure. Thank you, Lawrence. I mean, we set the dividend in a way that we felt it remained stable. So, despite the outlook from Macau, we’ve – the board has decided to maintain the dividend that at current levels. So, we’ve said that at a prudent level and think it is sustainable at these levels. The only change I would say is that we had been working on the possibility of being able to dividend money out of the Philippines and we’ll be working on that for the remainder of this year. But essentially, the dividend pictures is unchanged and we feel comfortable with the level going forward.
Ricardo Chinchilla: Thank you so much.
Operator: Your next question comes from the line of Jared Shojaian of Wolfe Research. Please ask your question.
Jared Shojaian: Hi, good evening to you, and thanks for taking my questions. Appreciate all the commentary on the coronavirus. I’ll take it in a different direction, I guess. On Studio City, can you just talk about the decision to temporarily keep the VIP tables, and how you’re thinking about that going forward? And then I guess before the outbreak, did you see any benefit when the Light Rail opened? Thank you.
Evan Winkler: Sure. This is Evan. So, I think from an SC perspective, in terms of continuing to support that property, by allowing them to have the VIP tables, that was a decision that was made in January. Again, there was – at that point in time, a strong desire on the part of that property to continue to keep those tables. We’ve changed the agreement. So, there’s flexibility on both the Studio City Park and the Melco Park, where that agreement can be canceled by either side on 30 days notice. And I think we’re going to continue to monitor that as we go through a more challenging business environment on what makes sense for both companies.
Lawrence Ho: And on the – it’s Lawrence here. I think Geoff Andres can add more details, but we certainly would be opening up the Light Rail. We were pleasantly surprised to see the increase in foot traffic. and so it really reinforced our original investment hypothesis, which was that being situated next to the Lotus Bridge border and Hang Seng for Studio City is really the best math puts traffic property in Macau in the futures. But maybe, Geoff, you can shed more details.
Geoff Andres: Thanks so much, Lawrence. Yes, Jared. I was pretty excited about the Light Rail. So, I always thought we had the best Light Rail stop on the line. We can get to the airport in 14 minutes. We can get to the ferry terminal in 14 minutes, airport in 12 minutes. It is clean, it is fast, it is efficient, and it really was a – really nice. So, we got to enjoy it for about a month before we had to close down, but it’s definitely a great piece of infrastructure that now it helps us connect with airport and ferry terminal. It also gets us to the City of Dreams and when cluster there very easily, and it also gets us to that galaxy area real easily.So, we’re now really in the middle of the road and said at the end of the road when it comes to the strip and we’re seeing about 1,500 additional people a day come into that bridge. So really, easy access from the Light Rail terminal into our property and it was just starting to get going. So, we look forward to when it can get back in action again.
Jared Shojaian: Okay. Thank you. And then just on Japan, obviously, now you’re all in on Yokohama, but after seeing only one bitter for Osaka, was there something specific to Osaka or the economics in that region that led you to pivot to Yokohama? Can you talk about that specifically?
Lawrence Ho: It’s Lawrence here. So, I think maybe, I’ll hand it over to Evan to add more detailed stuff. As you know, it’s been really a corporate pursuit for 10 years for Japan. And we’ve spent a lot of time in Osaka as well. One of the issues that we ran into of Osaka originally was the fact that the government was very insistent on the timetable that the IR bid open before the expo that they’re having in 2025. And Melco has always been very truthful and forthcoming with the government that we felt that was impossible to do given the scale of the IR and the fact that it’s a brand-new industry to construct. And so I think that took us away from it and we didn’t want to commit to something that we weren’t a 100% confident on delivering. But for us, I think that’s why we pivot towards Yokohama. And in any case, we always felt that, Yokohama was a better location given its proximity to Tokyo, to the Haneda Airport and to the population base and the demographics of that population. I don’t think there was any problems with the Osaka per se, I think it’s more of an issue with the very complicated structure, in which the Japan IR bid has been constructed. So, I don’t, maybe, Evan can talk more.
Evan Winkler: Look, the other thing I’d say is, although Melco announced that the Yokohama First strategy in September, it certainly isn’t that we were going to Yokohama in September, where we had not been spending time. The company has been spending a huge amount of time in Yokohama engaging with the local community, engaging with local stakeholders. We’ve been a sponsor of the Yokohama Marinos for quite some time. So, there actually had been a tremendous amount of groundwork that had been done in Yokohama for many, many months leading up to that September announcement.And I think at the time that that announcement was made, there was a view, which has been consistent on our part, which is that side is best suited for the type of IR that we would like to build. And so we think in terms of a development location and our ability to tie an IR into the city to accomplish the objectives of the Japanese government and also be successful from our standpoint in all aspects of an IR that that site lends itself better from a development perspective in terms of what we’d like to build. So that was really the motivation versus any problem with Osaka.
Jared Shojaian: Okay. Very helpful. Thank you very much.
Operator: Your next question comes from the line of Praveen Choudhary of Morgan Stanley. Please ask your question.
Praveen Choudhary: Thank you. First of all, congratulations regarding the best hold-adjusted EBITDA for the quarter. I have two quick questions. First one is you’ve mentioned that the recovery will be slow. Would you be able to comment if the recovery will be more VIP and Premium Mass until then – rather than Grandmaster then, because you don’t want a lot of people being very close to each other and overall traffic might take longer. And then second question I had was if you could tell us a little – any number about bad debt provisions, which you have given for most of the other quarters? Thank you very much.
Lawrence Ho: Hey, Praveen. So, we – like what David said earlier on, we were getting trickles of people. So, I think in the initial month certainly, it’s not going to be a massive amount of people. So, it will be probably, VIP focus initially. And then gradually easing with the individual to visa schemes and hopefully, the travel agency sales being restarted over in China. But I guess, David, you’re closer to the ground. Can you shed more details?
David Sisk: Yes. Sure. So probably, as you know obviously, you’re kind of spot on when you say the VIP, probably first on – given a lot of our VIP players are over in Hong Kong throughout Southeast Asia. So, it’s a little easier for them to come and visit us. Some are either VIP players are also businessmen in China, so they have a business visa. So again, easier for them to come across the border. So, we expect our VIP to be a little bit strong. We’ve already had one good player in starting today. So, we also expect to see some of our premium mass players, albeit at that, we’ll see a lot fewer of them, but we have started seeing some of our pre-math players trickle in. We’ll also expect you to see some of them through this weekend a little bit. Albeit numbers that are significantly less than what we’d normally expect to see on a weekend, but they are trickling in a bit here now.And then last, I think is the – as the overall visa scheme crews, as Lawrence mentioned, I think we will start seeing more of our mass and let’s call – we kind of segregate our players to our Dragons and to our [indiscernible] as those players start coming in and then the mass will start coming in more. But again, it will be our upper end first and then it’ll start working its way down through the whole customer pool.
Lawrence Ho: Praveen, on the bad debt provision, not sure our ballparks want to go, but in the fourth quarter we were approximately $12 million; in the third quarter, approximately $10 million; in the second quarter, it was approximately $0 million, because we had some good collection activity. It was around $11 million in the first quarter of 2019 and also $11 million in the fourth quarter of 2018. So, on – both on a sequential and year-over-year basis, it wasn’t a meaningful factor in R&A’s results.
Praveen Choudhary: That’s very clear. Thanks very much and everyone, please stay safe.
Lawrence Ho: Thank you.
David Sisk: Thank you for that.
Operator: There are no further questions at this time. I would now like to hand the conference back to Mr. Richard Huang for the closing remarks.
Richard Huang: Great. Thank you everyone for dialing in. We will look forward to speaking with you again next quarter.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now connect.